Andreas Joelsson: Okay, warm welcome to the Q4 and 2018 Report Presentation from Telia Company. We will do, as we always do, we will start with the CEO and President, Johan Dennelind, presenting the quarter; followed by the financial part with CFO, Christian Luiga; and then a Q&A session. Welcome, Johan. Please take the stage.
Johan Dennelind: Thank you, Andreas, and welcome. We see where we have the camera. There we do. Let us go straight at it. We have a summary of 2018, first. I think it’s worthwhile remembering that we have delivered on our ambitions for the full year that we laid out early or about a year ago then for 2018. Our cash flow coming in clearly above last year. Our EBITDA slightly above, as we said, and delivering on our cost program that we also said was an important part of the 2018 priorities. And I’d like to also highlight that, in Q4, we have a lot of positive customer data points coming in from our markets where both churn is slightly lower, but NPS, importantly, show loyalty increasing in some key segments. We’re also getting recognized for some of the sustainability work that we’ve been working hard on over the last few years, and I think that is also good to mention in this context, where ESG is becoming increasingly important that we are well positioned. The most important thing on this slide I would like to say is that we are also then proposing a dividend based on same amount as last year, which can lead to a high share – dividend per share of SEK 2.36. We’ll come back a lot to that, of course. But this is, overall, a year where we delivered, but we had somewhat softer Q4 that we expected and that you expected, and we’ll come back to that, of course. Before heading into Q4, in Q4, we did do two major divestments. Just to remind you, we had a call for both those occasions with you. Uzbekistan and Kazakhstan is no longer with us, and we’ve had a very important transformative year when it comes to resetting the focus fully into the Nordic/Baltic. So we are then – while the acquisitions that we made now are well positioned for the leading converged played number in the Nordic/Baltic. And, of course, pending the acquisition of Bonnier Broadcasting that will complete a lot of our ambition in this space. The quarter then that has a lot of positives in it, but we’re not shying away from the minus 5.5 EBITDA number. We’ll explain that to you, but a couple of other things, though. We have the cash flow, very strong coming, partly through the CapEx profile that we expected. But also, of course, adding Get/TDC from Norway into the cash flow. And the transition there and the integration is going well, I’ll come back to that. We have some really important customer wins across our markets in the ICT space, in Finland and Sweden mainly, which gives good hope and shows that we are competitive in the space where we have built capabilities over the year. And again, back to some key metrics and NPS in key markets. But EBITDA is troublesome to some extent. We knew it was going to come in lower, but it became slightly more lower than we expected, mainly due to Sweden, and the Swedish numbers we’ll go into more detail. But looking at the overall service revenue and the EBITDA development. Service revenue have been a negative territory for some time. It’s further dragged down by Carrier, and this is a conscious decision to move away from low-margin business. And that, of course, has a quite visible impact on service revenue group level. Removing that, though, we’re still in negative. And then we have the legacy as the big drag with about SEK 1 billion per year from Swedish operations that takes us into negative. And this quarter, we have not been able to compensate that with our core new services. EBITDA is down, as you see. It is partly a comparable issue because we had a strong Q4 in last year. But also, it’s a soft Sweden where we have about SEK 200 million of unexpected versus our own expectations and your expectations worse EBITDA, and Christian will go into more detail on that later on. We have delivered on our cost addition of SEK 1.1 billion. We actually came in at SEK 1.3 billion. We had a lot of focus on resource cost, obviously. A key part of our component, both consultant – mainly consultants and, to some extent, employee. So the total cost there, our resource cost is down, which is an important part of the cost program. But the key part of the cost program, overall, has been we managed all COGS related that come in from various parts of the business, but also a lot from the Carrier side where – the transit business, where we are moving away from. Cost agenda 2019, obviously, with us. We have the new operating model that we’ve talked about last quarter, and we’ll talk more about it as we move into the Capital Markets Day, which we’ll come back to. But it is a central unit taking more responsibility for the production of services across our six markets, where we have scale benefits coming in and also standardization moving us into position, we can move fast into respective markets with new services. But obviously, we will also have cost to take out on the OpEx side, and the Swedish OpEx will be around 3% lower, 2019 versus 2018. The positive things are still in the mobile space, where we have service revenue growth, six out of seven markets are growing. And most of the countries are moving up on the OpEx side, notably so, of course, in our – one of our 11 countries in the Lithuanian business, but also strong in Norway and Sweden. So ARPU is helping us a lot as we manage the revenue – service revenue in the respective country. Sweden is in a space where legacy is a drag, and we’ve talked about this a lot and we will keep talking about this because we still have north of SEK 6 billion on copper-related revenues. Around half of that is pure PSTN, i.e. fixed telephony revenue, which is declining rapidly. No surprise that it’s declining, somewhat more this quarter than we were used to, and that’s also part of the slightly worse EBITDA for the quarter. The legacy headwind you see there over the quarter, it is in negative territory and will continue to do so. A component that has helped us balance this over the years has been the fiber OTC. As you know, we are at the tail end of the fiber rollout. This quarter, actually, slightly positive versus 2017. And that – we are going to see a slowdown, of course, on the fiber rollout from now, and we have reached the 1.8 million – around 1.8 million households for Sweden and then we also start to show the numbers, how many customers we can reach on other city – Open City Networks, OCN. So that’s Sweden revenue profile, and we’ll come back to the EBITDA under Christian’s section. In Norway, we got an – as owner into GET in mid-quarter, we have been now getting acquainted with the people on the business. We are impressed with the people and we are also glad to see that we have stabilized some of the negative trends that we had during the first part of the year yet coming out in a pretty good Q4, where customers are stable and growing, and ARPU is stable or growing, depending on if you talk about TV or broadband, and revenues and EBITDA are slightly up. That’s important because the voice on signals in Q3, as you know, that was a bit soft. But this is a good platform for going into the joint company, Telia Norway, where we are now in the full speed in merging these two organizations – three organizations into one great challenger and alternative to the market leader. Ending on a couple of things. We – I talked about ESG, initially. We are working on this more and more integrated in our agenda, in our strategic agenda, and here are a couple of examples. We think we have managed the exit situation in a responsible way. We have engaged them for use across our footprint in a program called Younite to make impact towards the employee, especially in the digital area. We have gathered Nordic CEOs and Prime Ministers in an ambition to grow then the engagement in order to reach the employee by 2013, we are a driving force and voice in that. But then we’re also looking how we can do more on reaching the very demanding roles around environmental planning, we’ll come back to that in the CMD, an important part of the Telia Company story. When it comes to our shareholder remuneration, TSR last year was good, as you know. And we have executed on our buyback program. We are not fully done yet. We had, at year-end, around SEK 4.1 million – SEK 4.1 billion, sorry, gross value of the purchase – repurchase program and about 99 million shares. That, of course, means that the fewer shares out there will keep being – suggesting to keep the dividend at an absolute amount, the same, but that means we have an increase per share of SEK 2.36 proposed for the dividend of 2018. Look what that means in terms of payout ratio. We had around 80% last year, and this year, if the proposal is approved, it will be around 84%. So strong underlying cash flow then supporting the dividend proposal. Which brings me then into two final slides. We’re looking into 2019 and we’ll give you an outlook. The fundamentals that we will talk about throughout the year with you is, of course, the core revenue growth that we’re driving, both in the converged space, mobile broadband, TV. We have good momentum and good position in many of these areas and markets. Super important that we get that to grow more because second box speaks, obviously, about the legacy headwind that will continue. We are still a few more years with that very big drag on, especially, Swedish fixed. So the cost focus will continue with the CapEx discipline to remain and then we will, of course, get the support from the M&A that we have done in Norway and also we hope to execute on the Bonnier Broadcasting, which will give us further potential. But all in all, this leads to a growth in operational free cash flow. And when we look at that for the year, we are comfortable that we will reach in – to the range of SEK 12 billion to SEK 12.5 billion, compared to last year’s then SEK 10.8 billion. So significant step up in cash flow, which I think is a very important signal as we transit through another tough year in Sweden, but with other countries from being good to great. And the rating remains as an ambition for us to be in a BBB+, and that you should stay confident as well. But to give you further comfort, of course, Christian, please, come and talk about the numbers in more detail.
Christian Luiga: Thank you, Johan, and good morning, everyone. I’ll try to guide you through the second part of the presentation. See if I have the camera right. So starting a little bit on the high level of the quarter and where we are at Telia. Telia is a quite stable, continuous growing company. We delivered 1.7% growth in EBITDA. We improved that cash flow for the year. We have guided for an improvement of cash flow next year. That means that we will continue to grow on EBITDA, and we will continue to drive the cash flow in the other element. That is a necessity if you’re going to have that kind of change. Then we know that we have and we are big group that will have some entities that are a little bit weaker and some that are stronger. In total, we are a stable and strong company in a stable and strong region, and that’s why we have a strong footprint focus of Nordic/Baltic. We have also made an acquisition with the cash we have at hand last year, that will help us to drive fairly the EBITDA in the year. And I think that is a important statement, overall, before we step into quarter four and how that looked like. If we start then on the revenue side and the revenue pressure, we see on this picture that the revenue pressure comes from Sweden and it comes from Carrier. Carrier is low margin, and this is probably the last year we’ll see these kind of drops we have done in refocusing Carrier towards more IP transit revenue and less voice. We will see a less decline on Carrier and impact on the group next year. And in local organic, it was down 2.5% in total, and half of that is Carrier. The other half stems very much to Sweden and comes from what Johan talked about, legacy decline, but compensated by the added core revenue. In this quarter, specifically, we have a period now where we are between ARPU uplift activities and previous price increases. We have had price increases in 2017 that have helped us into 2019. We have a known price increase right now in TCN, and we will continue to work on the revenue side during the year. But it’s something I can’t talk about right now here. But we are in that gap, and that actually makes this picture a little bit more painful than it has been in the previous quarter, and until we come up with this, it will look like this. On the EBITDA development, you can see a very clear picture here. Sweden, with the majority of the decline, actually a little bit more, We are growing slightly on the rest of the business. And the Swedish EBITDA is a combination of what I’ve talked about on the revenue side, the revenue mix with legacy and a lower core in this quarter, growing at a lower level. Combined with the onetime bad debt that we had, it is a significantly higher debt that we have taken towards very few customers. And on top of that, we have had a higher marketing and sales costs in this quarter. That combined, makes this quarter weaker for us compared to previous quarters and for you. Going in then to the Swedish revenue side. We can see then the total was down 2.5%. And a couple of things here to look at is the – that even though the mobile service revenue is up 1.3% and that is primarily now core revenue growing. In the previous quarter, we have talked about value-added services. We have also had increase an invoice fees and they have latched. So now we are down to more the core revenue growth in mobile service revenue. But at that level, it is enough by low fixed side and decline in the fixed side and primarily then from the PSTN side. And if we look at the B2B side, we see that the decline is – continues be at the lower levels of 2.5% to 3%. And in this quarter, 3.5%. The changed shift here, I think, in this quarter is that SoHo/SME is a little bit worse than it has been before, it’s negative. It has been positive or flattish for many quarters. And it’s here, again, it’s price increases that is lapping into this quarter. Meanwhile, the large B2B is actually more stable in this quarter on the price and the volume side. So we have had a good large, as Johan talked about, sales side and that helped on this. The marketing activities kept us to have a positive intake on the mobile subs, but came at a cost in this quarter and should help us into next year. If we step into Finland. Finland looks very flat this quarter, but it has some very good signals. The mobile ARPU in Finland is growing more than the subs are declining. We have been very clear on that. We want to grow mobile service revenue, we want to have higher ARPU customers and we continue to do that. And we have a growth, ARPU is up 3% in consumer and total mobile service revenue is up 1.4%. The other positive thing is that Finland had a great quarter when it comes to new large customer intake. It’s not visible in the numbers yet, but it gives us good foundation for next year. On top of that, we should remember we have actually made an additional acquisition this quarter with AinaCom, and that will also help us into the next year on the profitability side. So even though the EBITDA is flat in this quarter. Finland did grow this year and will continue to grow next year, has a good foundation for that. Strong organic EBITDA in Norway. It is growing from its own results. We have acquired Phonero. We have growth through the synergies that we promised and they came out as expected. We are also having a quite extensive and good cost program, delivering a balance to the decline in the service revenue. On top of that, we have now acquired GET. As Johan said, it is delivering a growth on EBITDA and revenue in the quarter and it’s very stable. The similar philosophy of high-quality networks and good customer service is delivering a stable platform in GET, and it’s very promising to see that coming into our now converged footprint in Norway for next year, where we can continue to grow cash flow, which has now grown 60% in two years' time and will continue to grow with the GET acquisition. Three other countries, may be small individually, but they are contributing and they have a good growth pattern right now. Even Denmark is growing on the EBITDA side from a, I would say, very good cost work in 2018. And so even though they have a slight decline in a difficult market on the revenue side, we are making things differently, and that has an impact. In the Baltics, there is a growth pattern right now. We can see that on our competitors' profile and our own profile, and that helped us to grow EBITDA and group and helped us to drive cash flow. Latvia had a somewhat weaker quarter on the EBITDA side, but they have a new CEO since last summer and he is now putting his plan in place to be able to deliver growth in 2019 on the EBITDA side as well. Cash CapEx is turning down. We have to remember that cash CapEx is the important part, and I will come back to IFRS 16 later. It’s going to be even more important to understand cash CapEx because every lease we do is going to be a CapEx. And the cash CapEx was peaking in 2016. We had a Capital Markets Day in 2014. We have a very clear strategy and profile where we’re increasing our coverage build-out and we’re also going to find a way to be more efficient in our CapEx handling, internally, both on synergies, vendor side and how we cooperate on building things together. And we have succeeded with that, and the CapEx has declined. On top of that, the fiber has peaked and did that and is also on its way down. We continue to see a decline in CapEx into next year, primarily from the fiber side. We have said and we’ll continue to see need to improve our network, to be the best network, and that will give more limited effects on the opportunity to lower the other CapEx on fiber. This is something we have talked about for a long time and that is how we see it also going forward, but a decline is primarily coming from the fiber side. On the leverage side. We are at 1.97, if you include the full year, 12-month EBITDA from GET at this time. The main transaction in the quarter, of course, is the payment of GET, that’s also compensated partly by the sales of Eurasia. We have also purchased back shares, as Johan said, and, so far, 2.5% of outstanding shares when we started having been bought back and has effect then on the earnings per share and on the dividend per share. So we are at a stable situation. And M&A, we have completed the large M&A agenda. And meanwhile, the Bonnier deal is not completed yet in these numbers. Cash flow. Operational cash flow. We are very much driven on a operational cash flow. A couple of years ago, we intensified our focus in Telia. We have implemented education. We have implemented, as part of our incentive scheme, for our managers. We have set up programs. We have followed up. We have worked in team to actually work cross-border on how we prioritize our resources to make good things in the right place, in the right time. And this program, we identified, could give more than SEK 5 billion in working capital takeout. We have done SEK 3 billion, so far, pretty much, and we see no change to that guidance. It feels very good. And I think, here, the Telia company has done a tremendous work. And it’s not finance only, this is business-related in all aspects. Everything we do in working capital relates to vendor, our customer or how we handle inventory. So it’s very much how do we drive business together. Next year, we see a continuous increase in operating free cash flow. If I start with the elements that I always get a question about is the tax and the finance net and the pension effects that we had on all these other part, the mid part of the section here, that is going to be quite flattish next year. So we have – we see no reason why tax payments should be higher than this year. We see a financial net that is going to be in the range of where – around where we are today. We paid a lot of the acquisitions with cash at hand. And, finally, we have a recurring pension effect of covering the pension payments from the pension fund in the way we should do in this company now and that we started last year, so it shouldn’t be a big change. On top of that, we have a net working capital that will continue to have a positive development. We have cash CapEx that should slightly go down for fiber. And then we have an EBITDA growth, primarily then coming from GET, but from a stable business. So that’s how we see the development of the cash flow. And that brings us to SEK 12 billion to SEK 12.5 billion next year in our guidance. And I think this is a parameter we will talk more about. And getting into this last page, we now have – I’m sorry, I’m moving a little bit on stage here – so we now have a set of IFRS 16 coming into these books. These books are the standards that we follow and have to follow, and they do a lot of changes in these. Sometimes, they do good changes and sometimes they do changes that are more complicated. I think IFRS 16 has an element of both, but it does put a finger on that. Reading the cash flow will be more important for all of us because that’s where you’re going to read what the company is really doing. So maybe that is the positive part of it, but it also has some complications. On this picture that you see behind is my attempt to educate us all in IFRS 16, in short, what it means. If we take it first from the left-hand side. The thing is here that all contracts that we do, all contracts that is a lease, in some way, will be taken out from the EBITDA. So the office I’m standing here right now is we pay rent for that. That rent or that sort of lease will now be a depreciation. And when I sign a contract like this on our office, it will be a CapEx. So it will be very confusing to read the CapEx report, and it will be very confusing to read the EBITDA report. And that’s why I’m saying you need to move back into the cash flow more to look at what’s really happening in the company. And not only we need to recognize in our balance sheet those contracts and the committed period, we need to estimate and guess – you shouldn’t say guess, but we’re going to do a best estimate on how we think we will continue those contracts that are in place. And if we expect to continue them, even though we don’t know that, we have to book that value as well. And I think that actually puts a finger on where, maybe, IFRS 16 is not so good. In the right-hand side of this picture is really what’s going to happen then. We will have items on EBITDA today that will move into depreciation and financial net because these values have to be discontinued and there will be a finance element of this and they will be put in financial net. So everything that we had there then in EBITDA will move into these two lines when we read our financial report. On cash flow, it will move from operational free cash flow, the part that we pay out, down to financing activities. What we show on this picture is that we will do an adjustment to the operational free cash flow. We will move this item back from financial activities up into operational free cash flow to make sure that all of you read our operational cash flow tomorrow when you read our operating metric that we guide on in the same way as you do it today. This is where we’re going right now. We know that EBITDA has a very important – is a very important key metric for the investors. We also know that, that’s something we have followed in the past very much, but due to this IFRS 16 changes, we feel that it’s going to be more complicated and it will have an impact. And I believe, personally, it will take one year before we get acquainted with this and figure out how we’re going to work in this industry. Until then, we just have to have a better dialogue and talk more about the numbers that we have and at least in the cash flow. That’s all from me for right now. And I think we invite – no, I have one more thing. Save the date. So we have a couple of things we will bring up when we get to the 21st of March, where we’re going to have the Capital Markets Day. We know there is questions around how we’re going to drive cost on group, that is something we will answer. We have a very interesting story around our new operating model. We have three main countries: Sweden, Finland and Norway, that is driving the results and the performance of this group that we can talk more about. And those are part of the things we are intending to talk about when we meet in the 21st of March, where I hope as many of you can come to and see us and listen to us and ask us questions. So that’s all for me. Very good. Thank you, Christian. We will now start
Andreas Joelsson: Very good. Thank you, Christian. We will now start with the Q&A session. I have to urge you or ask you to limit yourself to, maximum, two questions. We will answer them. If you ask more questions, we will take three and four off-line through the IR department in order to save time to make sure that everyone gets to ask their question. We ask to start with Stefan. Go ahead, please.
Q - Stefan Gauffin: Yes. Stefan Gauffin. I appreciate that it’s difficult to give guidance on EBITDA due to IFRS 16. But, perhaps, just to get some clarification on how you see the development on EBITDA, could you give some information on organic growth on EBITDA, given that we just had a big turn to the negative in Q4? Thank you.
Johan Dennelind: Thanks, Stefan. Yes, Dr. Luiga and IFRS, we will have to deal with those consequences. But looking at EBITDA, please look at 2019 as Sweden still under pressure on EBITDA. The rest of the markets supporting, good or great, adding the M&A effect from GET/TDC as an inorganic EBITDA growth. So that’s what we’re seeing in the shape of the EBITDA movements. So we’re not giving you more exact guidance than that and moving you down rather to the cash flow, where I hope Christian gave you comfort that the SEK 12 billion to SEK 12.5 billion is, first of all, apple-to-apple comparisons to this year; two, it’s coming from both quality cash flow increase as well as the financial net on the pension side, which is recurring, not just one-offs. So it is comfortable guidance on cash flow for 2019.
Andreas Joelsson: We can take the first question from the conference call, please.
Operator: [Operator Instructions] The first question is from Roman Arbuzov. You may ask you question.
Roman Arbuzov: Good morning, thank you very much and taking my question. My question is to Christian, and just on the cash flow. Thank you very much for providing some of the clarifications, it’s very helpful. But I was wondering if you could perhaps specify a little bit more what’s going on, on the CapEx side. And if you could tell us how much you spent on fiber in Sweden, in particular, for the full year in 2018. That would be very helpful. And also, would you expect to get cash flow contribution to be in 2019, please?
Christian Luiga: Yes, thank you. So on the fiber side, we’ve been north of SEK 2 billion on the fiber side in 2018, and that’s the number we talked about going down. And on the GET side, I will not give you a guidance on the cash flow.
Roman Arbuzov: Okay. I’ll ask another thing on cash flow. Previously, you’ve talked about medium-term growth on cash flow, and looking at your various levers in terms of how you guys have done such a tremendous job on the cash flow over the last few quarters, yes, some of these levers are arguably running out of steam. Working capital, for example, you’ve done a tremendous job over the last couple of years, but it’s hard to see how you can do so much more on that line, just as an example. So when we think about the medium term ambitions on the cash flow side, do you think it’s still reasonable to assume organic growth in cash flow over in the medium term? Or is this not – no longer certain? I guess, given Johan’s comments just now, that 2019 guidance is comfortable on the cash flow side, do you still think we can take comfort in organic growth and cash flow for 2020, for example?
Christian Luiga: Yes, I understand your question. I’m not going to give you guidance for 2020. But then you’re correct, working capital will, someday, take out the steam, and it is – we’re pretty much halfway through, as I talked about. And so – and I have said before, I’m careful of telling in which year all of that will come. It depends a little bit on how our initiative works out, but we have that still to take out. And then, in the end, a company like ours needs to find a good balance between the EBITDA and the CapEx, which you have looked at in many years and will continue to look at, the cash CapEx towards the EBITDA over time. And that should grow in a company the acquisitions we do, with the converged strategy we do, and that is something we will talk more about at the CMD. So that is the high-level answer to your question, and I’m not going to go into any details on the 2020.
Johan Dennelind: I guess, to reiterate our ambition, that we are committed to growing cash flow every year over time. So that still stands and we’re still committed to that, and nothing has changed in that respect.
Andreas Joelsson: Thank you so much.
Johan Dennelind: Thank you, Roman. Fredrik, please ask the question if you have a microphone or speak loud.
Fredrik Lithell: Fredrik Lithell from Danske Bank. Can we talk a little bit about Sweden and the actions taken? You alluded to this already during Q3 when we were here. And how much of the pressure you feel is legacy and how much is coming from competition? And also, your internal organization and your systems that you’re trying to modernize at the same time? Can you sort of elaborate around those topics, please? Thank you.
Johan Dennelind: Sure. Thanks, Fredrik. We can elaborate somewhat and then we’ll deepen that in the CMD. First of all, I’d like to say that we – the Swedish team is doing really well in the market. We’re upholding market share. In most segments, we are even gaining some. We’re making our customers even more loyal and happy. So we’re investing a lot. We haven’t reduced our ambition to be the market leader and improve in every aspect towards the customers. And it’s in that light you have to see the transformation that’s ongoing, that we have launched some year back. That transformation, admittedly, we have come back to you and said, "We need more time." It is more complicated and more costly than we thought. We have pushed some of the positive aspects and benefits of those programs into 2020, like we talked about last quarter. That still stands. There is no way out of this, and we are confident in delivering on that. Meanwhile, then, what do we do? Well, we keep investing in the market. We keep doing our best towards the customers and we also take out cost short term, and those cost short term is what you have seen being taken out through the years. Also, in 2018, we took out costs. I think OpEx was down some 2%, 3% in Sweden. We’re going to take out 3% on OpEx in 2019, so that continues. But the big structural benefits from the transformation and the investments in new systems and platforms, it’s not coming until 2020 and onwards. So that’s the patience you’re got to have on Sweden and that’s why there is a drag on Sweden for 2019 as well. But at the same time, when I mentioned that, I’d like to say that we are compensating on all other countries. So on group level, we’re still delivering on our ambition, delivering on our expectations to market and also improving the cash flow, as we have said. So that’s how we run this larger piece of the company, with Sweden being an important one, but not the only one.
Andreas Joelsson: Thank you, Fredrik. Next question from the call please.
Operator: Thank you. The next question, it’s from Victor Hoglund. You may ask your question.
Unidentified Analyst: Yes, good morning, and thanks very much for taking my question. Maybe I missed this, but could you please give any comments on how the process is coming along on Bonnier? Your expectations when we can get any news when you expect closing any on that would be great. And then I was just wondering, in Sweden, two ARPU movements here. I’m thinking about this, first, the PSTN, it’s flat sequentially, but like you say, a big drop year-over-year. Is that maybe due to price plan changes or some more fixed price or – and less variable for Q4, for example? And the same kind of question on broadband here. Is this ARPU movement we’re seeing a result of you having more open network clients or anything like that? Thank you.
Johan Dennelind: Thanks, Victor. Bonnier, I probably didn’t mention so much because there is not much news on the process. We can reiterate that we think something will happen around the summer for closing. Summer or slightly after summer, that’s the base plan that we see. Things are progressing according to plan in Brussels, where the deal should be approved. And we have not changed our view on the prospects of value creation of this deal. On the contrary, we see a lot of positives on the – out of the preparations we’re now doing in order to be able to take care of Bonnier Broadcasting once it’s approved. We’re finding this very exciting. So we’ll come back and update you along the way on the deal as such. The ARPU, is there something my [indiscernible] do you want to comment?
Andreas Joelsson: Just on PSTN, for instance, we had the price increase that we did last year and now those effects are sort of more like-for-like. And on broadband, you have a decline, but it’s to a large extent due to moving some revenues from the broadband service revenue to the fiber installation fees. So that explains the decline in broadband ARPU.
Christian Luiga: So onetime adjustment.
Andreas Joelsson: Onetime adjustment, yes.
Johan Dennelind: Let’s also add that we have implemented price increases effective April 1 on PSTN in Sweden. So from then onwards we’ll have a price effect on the Swedish PSTN side.
Unidentified Analyst: Okay. Great, thanks so much.
Andreas Joelsson: After you Victor, next question please, operator.
Operator: Thank you. The next question, it’s from the line of Nick Lyall. You may ask your question.
Nick Lyall: Good morning everybody. It’s Nick Lyall at SocGen. Can I just come back to the connection revenue bit on fiber, please? Could you give us an indication of what sort of impact finishing the SEK 1.8 million might have on the connection revenue for 2019, please, and what we should think about? And, secondly, on the other, other division, Christian, just – it was a big boost for last quarter. As you mentioned, some of the central costs came through – or central cost savings came through. This quarter, it seems to reverse quite a bit. So could you just explain why that is and why it’s not sustainable, while we thought it might be? Thank you.
Christian Luiga: I think – I’ll start with the second question. I actually needed repetition on the first part. I didn’t hear in the end there. But on the second question is more a year-over-year comparison than it is a quarter-over-quarter change in the performance.
Andreas Joelsson: And the first question was regarding fiber connection revenues in 2019 now that we have reached 1.8 million homes passed.
Christian Luiga: We have said that we are in a tail. We’re still in a very, very difficult situation when it comes to prediction. It is expected to go down than it did this year. We were actually in the upper range of our guidance this year. But we are pretty much on the same level for next year, 60% to 80%, as a guidance. And then we will see during the year how we succeed taking that through, depending both on our appetite to grab the market and the possibility to dig.
Nick Lyall: Great. Thank you.
Andreas Joelsson: Thank you, Nick. Next question please.
Operator: The next question, it’s from Andrew Lee. You may ask your question.
Andrew Lee: Can you hear me?
Andreas Joelsson: Yes.
Andrew Lee: Great. I had two questions. So just the first question is on Sweden. During your discussion in the presentation, it’s relatively clear that a lack of price rise has not helped top line performance in Sweden. So I wondered what your view is on the likelihood of price inflation re-acceleration in Sweden in 2019. Do you think the market is the right environment to support greater inflation in pricing? And then, secondly, just on the cost-cutting guidance elsewhere in the group. We’ve only had Sweden today. Should we take the you don’t have the visibility on cuts across the rest of the group to be able to deliver similar cost reductions as you did or even guided across the group for FY 2018? How should we think about broader group cost cutting? Thank you.
Christian Luiga: So I’ll start with the last one. No, absolutely not, Andrew. We will have cost programs in all countries. And then what I said earlier was that when we get to the CMD, we will elaborate and declare how that looks like. But absolutely no change to the cost focus in any of our units in the group.
Johan Dennelind: Moving to price side in Sweden. There are certainly opportunities. I mentioned one where we already have implemented one from April 1. There are also opportunities that we are executing on in both TV and broadband. And then the big question, obviously, that we are on is what is the price elasticity in the mobile space and how is competition reacting to that. So that’s something we’re analyzing and looking at, but do expect price increases on the TV and broadband besides the fixed telephony that we mentioned. And then on mobile, we are monitoring and working on making sure that we stay relevant with the right price for the brand at the Halebop on Telia.
Andrew Lee: Okay, thank you very much.
Andreas Joelsson: Thank you, Andrew. Next question please.
Operator: Thank you. The next one is from Terence Tsui. You may ask your question.
Terence Tsui: Thank you, good morning everyone. It’s Terence here from Morgan Stanley. I had a general question around your thoughts around operating leverage in Sweden. So what’s the minimum level of service trajectory you think is needed to make the 3% OpEx reduction achievable? And maybe related to that, what sort of margin do you think the legacy revenues are currently delivering today? Thank you.
Christian Luiga: So just to understand your first question. How did service revenue relate to OpEx decline? The operational leverage…
Terence Tsui: Well, I was just wondering, because of operating leverage, what sort of service revenue trajectory you need to make this 3% net OpEx target realistic?
Christian Luiga: Well, the 3% OpEx target will be delivered, I think, with – quite independent on the service revenue development, to start with. So the question is if the revenue mix will drive COGS in different ways, but that will be a direct cost related to the sale then. But the OpEx guidance is very clear and very safe in that sense.
Terence Tsui: And then on the margin for the legacy revenues, please?
Christian Luiga: Well, the margin is still high and there is two elements of the margin. I mean, one is the direct platforms of the network and the platforms you used to deliver on this and then you have all the indirect costs. And the first one makes the margin quite high. And then we are above 60%, at least. And then depends on how you see and how you can actually work out another model when you have PSTN out over time in four or five years, you will have opportunity to build this company differently than you did today based on that you’re actually taking out a quite big different type of revenue. But that is not unknown at this point, that is an upside on that.
Terence Tsui: Okay, thanks for the clarifications. Thank you.
Andreas Joelsson: Thank you, Terence. Next question please.
Operator: Thank you. The next question, it’s from the line of Henrik Herbst. You may ask your question.
Henrik Herbst: Great, thanks very much. Just I think a question on – one follow up in Sweden. First one in terms of the 3% cost saving terms. What is included in the sort of cost base your approach is? Content cost is that included, for example, and then wholesale revenues – I guess, there’s a shift going on in your broadband base from – on net to off-net. Are those sort of wholesale costs included? And then on that topic as well, in terms of [indiscernible] can you talk a little bit about what’s going on with your DSL base, how fast that’s declining and maybe how many customers you still have? Thanks very much.
Christian Luiga: Okay. I’d start with the cost base and I’ll leave to Andreas to talk about the broadband. On the cost base, Sweden did deliver 3% reduction in OpEx this year. The OpEx includes all staff personnel, all resource consultants, other consultants. All the facilities we work with. And it includes sales and marketing cost in our own channels. It includes the electricity we use and all the other type of costs that we have to drive this company as a platform. Then content cost and the network cost is excluding personnel, so the network in itself of running that is a COGS in the company. So on that OpEx space, Sweden has delivered more than the rest of the group on resources in 2018 and it has – and that includes consultants and staff, as Johan showed before in a picture. And we guide that it will be at least 3% also next year. And part of that will come from resources as well, but also from the other elements. And on the…
Henrik Herbst: But, I guess, the point is if your business model is changing and you’re getting more resell customers, the other – I mean, the other part of the cost base, presumably, then goes up, right?
Christian Luiga: Depends on – exactly. I mean, that is the trick. I mean, if you have a legacy decline and we have a plan to take down cost over time, and that will be more stepwise, we talked about that in the past. You don’t take down telephone posts on the PSTN one by one when a customer leaves. But you take it in chunks and, therefore, you will have a sliding curve on revenue, but a step change in cost over time. And that could give you quarters or half years where it actually doesn’t really play. And on other costs like value-added services, content, et cetera, it actually is a direct related to the sales.
Andreas Joelsson: And on the broadband subscribers, as you can see from our reporting, we have been quite good at mitigating the drop in DSL. We’re taking up those customers on fiber. We have an even better position now after expanding our OCN footprint to 0.9 million households for this year. We can address that group more, and we will. While we also have a strong base to build on from the 1.8 million households that we cover with our own infrastructure, so that’s the plan.
Henrik Herbst: All right, thanks very much.
Andreas Joelsson: Next question, please I think we have five more questions from the call. And then we can go back to the floor, Federick. Be patient.
Operator: Thank you. The next one, it’s from [indiscernible]. You may ask your question.
Unidentified Analyst: Thank you. Two questions, both of which are on Sweden. So, firstly, on mobile in Q4, you highlighted that marketing and acquisition costs were higher in the quarter. Have you since come down in Q1 or are you now living with this slightly higher cost to offset your tariff plans, which have a bit of a price competition? And, secondly, you have discussed how it’s been a bit more difficult to take up some costs in 2018 and, to a degree, 2019. And – but have there been any areas where you’ve actually had upward pressure on costs and what would those be? Thank you.
Johan Dennelind: I’ll take the first one and Christian will take the second one. So as we said, we invested a bit more in the market in Q4. We intended to do that, but it became slightly more on top of that because the sales were good. Of course, that carries on into 2019. We’re not going to give you any guidance on Q1 at this point in time, obviously. But we did more than we expected in Q4 and we should maintain our discipline around the SAC for customers into 2019.
Christian Luiga: And on the cost side, yes, we do have a slight – I say a slight worsen, you can say, gross margin profile based on that. I’ll take the most simple example here and there’s many elements to it. But the most very significant ones are legacy is going down a little bit more and not possible to manage that cost directly. We have the best TV in Sweden. We do well. We grow our customers, and that drives content cost. It doesn’t take away profit per se, but it doesn’t come with the same margin loss that we have on the legacy. So that is a shift in the gross profit that looks negative on surface in that sense.
Unidentified Analyst: That’s clear, thank you.
Andreas Joelsson: Thank you. [Indiscernible] next question please.
Operator: Thank you. The next one, it’s from the line of Lena Osterberg. You may ask your question please.
Lena Osterberg: Yes, Yes. So, first of all, my question is on the cash flow bridge. Maybe if you could clarify a little bit more. If I read it right, you will get roughly some SEK 500 million extra from GET, year-over-year, in addition to what you got in Q3. But then, as I understand it right, you expect to take half of that to the same pension effect. So some SEK 100 million up out year-over-year. The impact is the same financial net and then CapEx down. And that will get you to the SEK 12 billion to SEK 12.5 billion. Is that correct, the – my understanding on that?
Christian Luiga: I’ll try to – I will not be able to be that detailed, but I’ll say a little bit on the GET side. And then I’ll say – I’ll reinsure that the tax, the financial net and the pension will not be worsening next year. And CapEx is slightly down and EBITDA will also be driven in the rest of the business.
Lena Osterberg: Okay. And then if I look at your – the slide you have, I think was Slide 24, where you talked about IFRS impact on lease liabilities. Did I understand it correctly? Did you say that your lease liability will increase by SEK 15 billion? Is that the net debt impact from leases, SEK 15 billion? And in that case, if you can maybe just indicate how much your lease costs that are included in the EBITDA today and will go away, how much they are so we can understand the impact of net debt-to-EBITDA?
Christian Luiga: I wish I could answer that question. But the first one I can absolutely answer is the SEK 15 billion and that is the increase in the balance sheet asset side and liability side. On the other two elements, how much will impact the cash flow and EBITDA, we cannot disclose right now and that is one of the reason why it’s difficult also to talk about those parameters that are impacted by that. And we will come back to that, either in CMD or at the first quarter, when we have to report it for the first time.
Lena Osterberg: Okay. Thank you.
Andreas Joelsson: Thank you, Lena. You have been very disciplined with your questions, but unfortunately, we only have time for one more. So please reach out to us at the IR department and we will help you. For those of you that wouldn’t be able to ask a question. But we take one final, operator please.
Operator: Thank you. The next one is for Peter Nielsen. You may ask your question.
Peter Nielsen: Thanks a lot, I’ll do it quickly, please. Firstly, you talked about, Johan, the transformation in Sweden, which you, obviously, talked more about at Q3 and telling us that the big impact from this will still come in early 2020. Is that still related to the one sort of large IT project and will that really have such a material impact? And then quickly on GET. Are you suggesting that TV revenues for GET are flat in Q4? Is that correct? You’re saying the customer base is flat? The ARPU is flat? So will that suggest that the TV revenue growth has sort of recovered from a decline and is now stable? Thank you.
Johan Dennelind: Thanks, Peter. Confirming your question on the second one is correct. Transformation is a big topic, more than – that needs more than a minute. Happy to see you at the CMD to go deeper on that. But in short, it’s more than just IT, it’s the whole platform and system part and the way we work manual work systems that needs to improve. And we can’t get that full effect until we are done with the various programs. So that will go into more detail as we meet you in March here in Solna, and I think that is a good conclusion. Andreas?
Andreas Joelsson: Yes. Thank you, Johan. Thank you, Christian. And again, reach out to us if you have follow-up questions or more questions, and we will help you as much as we can. And we wish you a pleasant weekend. Thank you.
Johan Dennelind: Thank you.